Operator: Good morning. My name is Joanna and I will be your conference operator today. At this time, I would like to welcome everyone to AGI's Q4 results release and conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Tim Close, you may begin your conference.
Tim Close: Thank you. Joanna. Good morning and thank you for joining Steve Sommerfeld and I this morning. We have some brief comments on Q4 and 2017 results and then we will move to recent activity, a look at our outlook as we move through Q1 of 2018 and finish with questions. We had Q4 2017 sales of CAD 173 million in adjusted EBITDA of CAD 21.2 million, closing off a record year for AGI with total 2017 sales of CAD 756 million and adjusted EBITDA CAD 123 million, representing a 38% increase in sales and a 23% increase in adjusted EBITDA over 2016. The disparity in those growth rates speaks to our investment program over the last few years as we have built out our fertilizer, seed, feed and food platforms, expanding capacity and move those businesses into new markets, including a greenfield built in Brazil. We've been capturing solid gains in sales across AGI, while margins have lagged slightly as new assets are integrated, synergies are realized and we implement manufacturing, purchasing, HR and engineering best practices. This trend was highlighted in Q4 with sales up CAD 47 million versus last year and adjusted EBITDA of only CAD 3 million quarter-over-quarter. When looking at all of 2017, overall adjusted EBITDA margins were down 203 points to 16.3%. However, our major capital allocation for 2017 are in a build, investment and/or turnaround phase. And when these items are excluded, our gross margins and adjusted EBITDA margins are up over 2016 and in line with recent historical highs, demonstrating the continued strength of our core businesses. We fully expect overall margins to catch up and as we bring our new assets online and reach the expected contribution levels from recent investment. We made good progress across cash generation and liquidity and FFO growing 39% versus 2016, providing continued support for our dividend investment programs with our payout ratio dropping to 52% from 67% in 2016. On a diluted and adjusted basis, our EPS was CAD 2.44 versus CAD 2047 in 2016, a reflection of additional shares issued in early 2017 and, as discussed, the investment phase that we are coming through. Similar to our comment on margins, we expect to see improvement in these numbers as we gain traction in Brazil and recent investments move towards our targeted results. 2017 was an important year for AGI as we advanced our strategic expansion in both our farm and commercial groups. Our acquisition of Global Industries early in 2017, building critical product lines and strategic regional capacity to position us for future growth. We invested in our product and systems engineering capabilities over 2017 and we crossed an inflection point in both groups as we move to offering complete systems for farm and commercial customers globally. Our systems approach moves AGI from discussing individual products to now discussing and delivering complete systems, a very important distinction. To advance our systems approach, we added three strategic businesses to AGI over the past few months, with the acquisition of CMC Industrial Electronics, with offices in Vancouver and Minneapolis, Junge Control in Iowa, and Danmare Group with offices in Toronto and Minneapolis. CMC is the market leader in designing and providing hazard monitoring and industrial grain monitoring systems to the commercial grain, feed, biofuel and fertilizer markets. The sensors that CMC provides are a critical part of operating these facilities safely, to avoid injury to people and property and to maximize the facility operating time by using live data to prevent downtime and efficiently schedule required maintenance. CMC is a fantastic addition to the AGI platform and it was a pleasure working with the founders of CMC, Doug Forst and Judith Cole on this transaction. We are now busy working with Bob Reis, the GM of CMC, in adding CMC products and services to the global AGI platform. Junge Control is based in Cedar Rapids, Iowa, is a top provider of measuring, metering and blending equipment for the liquid fertilizer and biofuel markets. Junge also provides system controls solutions in industrial applications. Junge expands our fertilizer platform into the liquids-based [indiscernible] offering as we pursue a complete systems capability in each of the markets we operate in. Dave and Mary Junge built a fantastic business that fits seamlessly into our fertilizer strategy. This is another that we're excited to have as partners within AGI. A few weeks ago, we also added Danmare Group to AGI as we executed on our objective to grow our food platform. Danmare is a group of talented engineers that provide systems design, supply and project management to the food industry globally. This is a strategic addition to the small but growing part of AGI. By building out our design and project management capabilities at the beginning of our growth in this platform, we will build relationships with strategic customers, add value at the beginning of projects and leverage our systems knowledge to guide our investments in equipment solutions going forward. Danmare was founded by Daniel De Vellis, Marc De Piero with Barry Harkin joining as president. Daniel, Mark and Barry continue to lead to lead Danmare and will be a big part of growing our food platform going forward. Three strategic bolt-on acquisitions that will have an outsized impact and positive contribution across AGI. We're really excited to have the teams from these three businesses joining AGI as partners in our continued growth. Having a closer look at our farm and commercial businesses, our commercial business was impacted by delayed projects throughout much of 2017. Domestic markets in Canada were strong, stable in the US, and the significant quoting activity in the international markets started turning into backlog and deliveries in Q4 and leading to record backlogs currently in all international markets. The current level of backlogs position us very well moving into 2018. We're equally pleased to see the diversity of projects, with a good variety of small, medium and large projects from the broadest geographic range in our history. This is a key objective for our commercial group as we aim to participate in the annual global agriculture infrastructure spend. Still early days as we build our capabilities around the world. However, we are seeing very encouraging signs. In our farm business, we saw record volume in North America with solid markets in Western Canada and a very good recovery in US markets. Backlogs have continued to build in the US and portable in storage as farmers catch up to several years of modest investment in large crops, which had reached an unsustainable level and required the investment and replacement phase we are now seeing. Farm markets in Canada will moderate after a record 2017. We continue to have good crop volumes. Our Canadian farmers have been fairly consistent in their annual investment. So, we expect to see more of a stable environment relative to the catch up required in the US. We've had good progress in leveraging new products across the farm business. New products from acquisition as well as new product launches coming from our expanded engineering group. Our seed treatment business continues to grow, along with storage and conveyance equipment, to enable the delivery of complete seed systems. Our storage products have grown into new regions. We are expanding grains and dryer sales throughout North America and globally and targeting growth in the international farm markets. Overall, our farm business is positioned for a successful year in 2018. Our business in Brazil continues to make slow, but steady progress. Volume has increased every month since we commissioned the facility, in line with our expectation and guidance of launching the startup in a new market. Our presence is growing. Sales are climbing. The team is come together. We continue to expect good growth over 2017. No doubt, it is a challenging environment. But as we launch our product lines and deliver high-quality products on time, we will win our respective niche in this large and quickly growing market. Congratulations to our whole team for pulling together our facility, building a great team and positioning AGI for decades of growth in this market. We're very happy to have many employees as shareholders and hope to add more going forward. Many are listening today and are very engaged in building AGI. Steve and I would like to thank every employee as well as our customers, suppliers and partners for their outstanding contribution in 2017. It's a real pleasure to have you all as partners. The higher growth engagement is very much appreciated by us, our Board of Directors and shareholders. With that, we'll turn the call back over to Joanna to take some questions.
Operator: Thank you. Your first question comes from Jacob Bout from CIBC. Jacob, please go ahead.
Jacob Bout: Hi. Good morning.
Tim Close: Good morning, Jacob.
Jacob Bout: Wanted to get your take on the potential impact of the steel tariffs. And maybe as a secondary, just talk a bit about how you think about this NAFTA renegotiation, how that could impact you.
Tim Close: Obviously, this has been top of mind for us. We've been following the 232 – potential 232 implications for quite some time, probably that discussion started right around the time Trump came into office. And so, we've been accounting for that and making adjustments for and building that into our strategy for a good part of a year or so. Like steel markets in every year, there is volatility and we gauge the likelihood of increases and decreases and account for that in our global businesses. So, a little bit more going on in the North American markets, but we feel pretty good about how we're positioned for the business now in North America and going forward. On NAFTA, I think, again, we've accounted for that. We've been following it for quite some time. We've looked at capacities across product lines in both geographies. And I feel pretty good about our ability to adjust to any changes going forward.
Jacob Bout: What typically is the lag between an increase in steel prices and your ability to raise prices?
Tim Close: Across product lines and geographies, we have annual price adjustments. And that happens every year and throughout the year. So, we do make changes to pricing and we have to as steel has moved up materially over the last 18 months. We have made price adjustments throughout that time to account for the differences in our cost. Right?
Steve Sommerfeld: That's right. And, Jacob, if I could just add, as you're aware, the commercial portion of our business, which encompasses a good chunk of our international business, is quoted on kind of a live input basis. And those quotes typically remain live for 30 days. And we have the opportunity to refresh if steel moves significantly in that period. So, we have a built-in protection, again, on that side of the business. And on the farm side of the business, like Tim said, typically, we'll have annual price increases in years like this one where steel has been up quite significantly. We do have the opportunity to raise prices midyear if our competition does it. And, in fact, it's happening now and we've also raised prices across some of our product categories early in 2018.
Jacob Bout: Am I wrong to think that the majority of the impact would be for the portable stuff that's manufactured in Canada, moved into the US?
Tim Close: There's an impact on all of our products. It's just steel is a lower component of COGS in the portable equipment and higher in some of our storage equipment. So, it's a region by region adjustment across product lines. And others, it seems like a lot more volatility or movement or moving pieces right now, but that's a pretty consistent story over time and around the world on a year-to-year basis. There's something going on to move markets.
Jacob Bout: Okay. Maybe just talk last question here, just talk a bit about your ramp at Entringer. And maybe just break it out. Look for commercial versus on farm, what you're seeing right now?
Tim Close: It's continued to make steady progress is the best way for us to characterize it, which is the plan. As we launch that business and build it, we just want to see nice, steady incremental growth. A lot of activity in farm, farm quoting and delivers in the farm side. So, it's a balanced backlog and pipeline right now on farm and commercial. A lot of good big projects in Brazil on the commercial side to build out the inland and port infrastructure. And likewise, farm is active and it's a dynamic market, but we're seeing good activity across all of them and then both markets. And then, it's slowly turning into backlog as we get our presence here established.
Jacob Bout: Great, thank you.
Operator: Thank you. Your next question is from Damir Gunja from TD Securities. Damir, please go ahead.
Damir Gunja: Oh, thank you. Good morning. Just a really quick follow-up on steel. Steve, can you – or are you able to disclose sort of how many tons of buy would be sort of non-commercial or non-pass-through or percentage or some sort of metric?
Steve Sommerfeld: Well, Ag Growth-wide, Damir, consolidated, our steel represents about 30% of our cost of sales. We haven't disclosed by product category or farm versus commercial on what that split might be.
Damir Gunja: Okay. Sorry, go ahead.
Steve Sommerfeld: I guess I wasn't quite sure what your question was.
Damir Gunja: Just trying to work out just so we could have a sensitivity or build our own sensitivity on – OK, commercial is largely pass-through; for the non-commercial, steel does X, the impact would be X.
Steve Sommerfeld: Right. The only disclosed number is 30% of total AGI cost of sales is steel. Storage, of course, which is on both the farm and commercial side, has a higher percentage steel than handling equipment is.
Damir Gunja: Yeah. Okay, that's fair. Just wondering if you guys could just generally talk about the acquisition environment. Realize it's a function of opportunity and you probably have lots of wires in the fire. But, I guess, in a good year, how much capital will you guys be hoping to deploy?
Tim Close: There continues to be good opportunity. I think we talked to you a bit in the past, we take a proactive approach to looking at where we want to be over the next 1, 3, 5 years and what we'd like to add organically or through acquisition. And then, we're busy trying to find those opportunities and that's very much a good summary of where we're at today. A solid pipeline of opportunities that we're looking at. But, as you mentioned, when those are actionable is very hard to predict. I think the activity over the last couple of years is indicative of what we'll see going forward.
Damir Gunja: Okay. And just a final one on Danmare. Can you just generally talk about the – through the opportunities you see that generating within the AGI family? Are there AGI products that could be put to work or perhaps this becomes a source of, I guess, industry intelligence or maybe even acquisition leads?
Tim Close: It's all of those things. It's a really phenomenal business with great leadership, great insight into the food platform. So, we have a small business on the equipment side and the food side. And then, we want to grow our systems approach to that business, just like the other four platforms we're in. And this gives us that design and expertise upfront as we build out the platform as opposed to other markets where we've been saddled with equipment and product lines and then added a lot of the expertise as we built those platforms out. I guess, in an ideal world, you'd always start with this sort of expertise at the beginning of a growth phase. So, it's just phenomenal opportunity for us to bring on this great team and then build out that platform, with that strategic insight to how to do that. We want to add as much value to those customers as possible in as many ways as possible. And so, that team will be a really integral part of doing that. So, it's a small acquisition in some ways, but in many ways it's a big strategic move for us and strategic growth for us.
Damir Gunja: Okay, thank you very much.
Operator: Thank you. Your next question is from John Chu from Laurentian Bank Securities. John, please go ahead.
John Chu: Hi. Good morning. Can you hear me?
Tim Close: Yeah. Hi, John.
John Chu: Okay. Just a couple of questions here. You mentioned US tax reform and accelerated depreciation as a potential catalyst in the US, can you maybe elaborate on that, especially on the accelerated depreciation? I think that's always been something that's been there for the farmers in years past. Is that any different from what we have seen or is it something there you're thinking can really help drive US-related sales?
Tim Close: Well, what's different is that it's permanent now. In previous years, it often was available to farmers, but often it would be announced late in the year and the farmers would be given a very short window to take advantage of it. Now that it's built into tax reform, farmers can plan better, more proactively around their purchases.
John Chu: And is that more advantageous for the bigger ticket items like the storage versus the lower-priced items like portable handling?
Steve Sommerfeld: I think so. Yes. It would encompass both categories. Any time you give a consumer more opportunity or a longer opportunity to plan their capital expense or program, the better off they are and we are. So, when they're given a very tight window, sometime that purchasing decision is not made.
John Chu: Okay, great. And then, in terms of the Brazil outlook, you talked about profitability for 2018. And maybe I'm nitpicking a bit here, but it seems like that profitability statement for 2018 seems a little bit more optimistic than what maybe you may have said last quarter. I thought it was going to be a drag for the first half, maybe the first part, and then you hitting profitability by late 2018. Are you becoming a bit more optimistic or am I just reading too much into the wording of…?
Steve Sommerfeld: Yeah. I think maybe you're reading a little too much into it, John. The guidance remains consistent with how we discussed it late in 2017. As Tim mentioned, our backlogs are higher than last year. There's gradual improvements. It's still a challenging market as we disclosed in our MD&A. We do expect to be profitable in 2018 and that profitability be weighted towards the second half.
John Chu: And can you just talk about the backlog overall and the quoting activity? Are you still seeing that momentum that you saw last quarter or is it starting to slow up there? Just give us a sense maybe directionally how that momentum has been carrying on over the last several months?
Tim Close: Are you asking about our entire international business or only Brazil?
John Chu: The entire international.
Tim Close: It's very strong. Our backlog increased significantly toward the end of 2017. The group remains engaged in a number of large projects that are – have not yet been awarded. What's very different for us in 2018 compared to 2017 is our opening backlog. In 2017, we came in with a very low opening backlog, which, of course, leads to a weak opening to the year. 2018 is exactly the opposite. We're coming in with a record high backlog, which will allow us to have strong international sales in the first half. And during the first half, of course, we're continuously quoting and adding projects for the second half. So, quite optimistic on the international business for 2018.
John Chu: And you're finding the quoting that you're seeing for the first half of this year is considerably stronger still, is that a fair statement?
Tim Close: The quoting was very strong coming into 2018 and remains strong.
John Chu: Okay, great. Thank you.
Operator: Thank you. Your next question is from Westley Nixon from National Bank. Westley, please go ahead.
Westley MacDonald-Nixon: Good morning.
Tim Close: Good morning.
Westley MacDonald-Nixon: I'm wondering if you could just generally talk about the relative contributions in terms of the size between farm and commercial in the US? Is it reasonable to assume that the commercial business in the US is materially bigger than it is in Canada, both in absolute terms as well as relative contribution to regional revenues?
Steve Sommerfeld: Right. We haven't disclosed on that basis, Westley. We've disclosed by geography and total and farm and commercial by total. I'm happy to speak to either of those. The Farm business in the US is comprised primarily of Global, the acquisition in April of 2017 and our Portable business.
Westley MacDonald-Nixon: Okay. In South America, in particular, just trying to reconcile commentary around the optimistic outlook for quoting activity against crop production likely being down from record levels this year as well as looking at the grain handlers performance down there and the profitability was quite – the environment was quite challenging in 2017. So, just trying to reconcile those two.
Tim Close: It's just such an under-invested market. Even in a flat market or a challenging market overall, there's just so much investment that needs to go into farm and commercial infrastructure there that – that's what drives the volume of quotes and the volume of activity and investment going forward. So, when you look at – on-farm storage is very limited. Extremely limited. They've got significant losses from waste just from improper storage. So, there's significant gains on the farm just from adding pretty basic storage products. So, you can have very active and busy business even in that environment.
Westley MacDonald-Nixon: Okay. Thanks very much.
Tim Close: Thank you.
Operator: Thank you. Your next question is from Matthew Pallotta from Altacorp. Matthew, please go ahead.
Matthew Pallotta: Hi. Looking at the Canadian farm segment, would you expect that buying decisions due to – any change in buying decisions due to slow movement of rail over the past few months? Has that impacted you guys at all?
Tim Close: Well, I wouldn't say it's impacted us yet. The last time this happened a few years ago, it certainly did stimulate demand. Farmers were reminded, I suppose, of the importance of storage. The impact of the flow rail should continue, I think we would expect to see later in 2018.
Matthew Pallotta: Secondly, is there anything specific in Q1 or H1 2018 that would relate to a timing issue versus a normalized quarter? You already commented on rail issues, but anything else, the steel pricing, just anything that would specifically impact Q1 or H1 2018?
Tim Close: I'd say, right now, there is nothing that we've identified. The timing of seeding can matter certain years. The timing of the commercial projects can vary, both of those things. But there's nothing pervasive, I would say, that we would identify right now.
Matthew Pallotta: And lastly, can you quantify in percentage terms the range of growth you expect for farm and commercial and international sales in 2018?
Tim Close: I think the growth rates would be in line with the comments we made around continued momentum in farm and commercial. We don't talk about specific growth rates in either business, but we continue to make good progress across each of the business platforms you're in.
Matthew Pallotta: Previously, you commented there's mid-single digit growth in North America and well into double-digit international, looking at it geographically. So, just, I guess, on those metrics, would you say you're still tracking that sort of –
Tim Close: And those comments are over mid-term in general guidance and that continues to hold.
Matthew Pallotta: Okay. That's all from me. Thanks.
Operator: Thank you. Your next question is from Andrew Wong from RBC Capital Markets. Andrew, please go ahead.
Andrew Wong: Hey, guys. Thanks for having me on the call. So, just with the uncertainty – going back to the trade, with the uncertainty between Canada and the US, would you be more likely to look at increasing exposure or just diversifying to other geographies?
Tim Close: Well, I guess, yes. But not specifically because of trade issues. We've been pursuing that international diversification for quite a while now and are actively continuing to pursue that diversification. And for fundamental reasons that you do diversify is you can't predict change. We know change will come in all the markets we're in, but we know that, overall, the markets we're in are growing and we can grow our presence in those markets. So, the fundamental benefits to that diversification will hold steady. The change in the North American market is just indicative of our expectation of continued change.
Andrew Wong: Okay. So, no pivot or anything like that towards maybe just casting a wider net towards some of the other geographies or anything like that?
Tim Close: No. We've continued to do what we've set out to do for three years and we'll continue to do that going forward.
Andrew Wong: Okay. And then, just one last one from me would be the Canadian dealer inventories. It sounds like there's a little bit of carryover there. Can you just maybe compare the inventory level now versus historical levels, just trying to get a magnitude around the issue and how long it might take for us to work through some of that extra inventory?
Steve Sommerfeld: Andrew, it's Steve. We haven't quantified it. It's not what I would consider to be a significant issue. There was a quick end to harvest in certain parts of Saskatchewan, in particular in Southern Alberta. And when that happens. the dealers is that area will have, I guess, some carryover inventory compared to what they have expected. The good news, I suppose, is that there's been some pretty significant snowfall in Saskatchewan in the last few weeks or the last two weeks. I drove through it and can verify. So, it is not a carryover issue to the magnitude that we've talked about, maybe three or four years ago when there were more significant drought events. This is a minor issue. We're really trying to just introduce some, I guess, cautiousness into the Canadian farm market where we had a very, very strong 2017. We expect to have a very strong 2018. But as referenced in the MD&A, to achieve 2017 numbers will be difficult on the farm side.
Andrew Wong: Okay. That's great. Thanks.
Operator: Thank you. Your next question is a follow-up from Westley Nixon, National Bank. Westley, please go ahead.
Westley MacDonald-Nixon: Good morning. Thanks for letting me jump back in. Just turning to Canada, just wondering if you could maybe quantify the commercial opportunity set in Canada in 2018. Kind of wondering if you can get to record levels, or maybe at least back to the highs of 2014. We're seeing across the country, there's been indications of elevators being built, plans, as well as Bunge is stating a vision to build the coast-to-coast grain network. So, it seems like it's a pretty massive opportunity. Just looking to hear your thoughts on that.
Tim Close: Canada is very active. There was a lot of headlines and lot of projects being either on the drawing board or being built. So, very active environment. And we see pretty solid activity coast-to-coast. And we're busy looking at those projects or trying to get involved in those projects. So, it's a healthy environment, and not just in grain, in fertilizer, in food. And so, it's great to have a good presence across this market.
Westley MacDonald-Nixon: And just a quick follow-up, would you say that the opportunity – the commercial work that you're looking at, would that be primarily like in-country stuff or would it be busier along the ports?
Tim Close: It's a bit of both. It's a bit of both. Wherever there's port activity, you need inland facilities to support that. You have to originate and then funnel the grain volume to port or inputs either way. Like your comment on Bunge, it's got to be an integrated strategy from any one of the traders or players in the commercial markets.
Westley MacDonald-Nixon: Thanks.
Tim Close: Thank you.
Operator: Thank you. Your next question is from Steve Hansen, Raymond James. Steve, please go ahead.
Steven Hansen: Yeah. Thanks, guys, for just not stuck in queue there. Two quick questions for me. One is, not to beat the steel thing to death, but I just wanted to circle back just the typical procurement cycle that you run through here. Can you just give us a sense for – Steve, how does it work? If I recall, you bulk-buy on steel, so how far in advance are you buying relative to your sales and projected production levels and how often are you buying throughout the course of the year? And then, relative to those price increases that you mentioned earlier?
Steve Sommerfeld: Right. So, like you mentioned, steel has been on the rise for well over a year now. We were always in the market buying steel and buying it strategically. The steel purchases that we've made, along with the price increases we referenced earlier, we believe we can hold margins. Always keeping an eye on steel. And we'll enter the market strategically when we feel the time is right.
Steven Hansen: Okay. That's helpful. And then, just on the food platform, another small tuck-in here. It sounds strategic. Food, to me, strikes to me as a very broad sort of platform in itself. And so, maybe, Tim, just a bit more perspective on which channels or what sort of verticals within the broader food space you're really looking to focus on? If you could just give us some sort of – a bit of a roadmap as to sort of what you're looking at, how your thinking about that space relative to your existing platforms and how they might synergize this at all?
Tim Close: We're looking at those that are a natural extension of the capabilities and businesses we're already in. And as you look at the core products we have, that equipment facilitates the storage conveyance blending or mixing of bulk commodities or different ingredients. And whether that's happening at a seed plant, a feed mill, a grain plant or fertilizer, all those capabilities and equipment are likewise used in food processing. And so, we have some conveyance equipment over time going back now, I guess, over a decade in some food processing plants. So, this is just a natural extension of those product lines, equipment lines and capabilities. So, look to extend the product lines we have in that environment, in those facilities. And then, along with that comes the requirement to be able to look at a system, design it and plan for the execution of that, to add value to the process for our customers. So, the ultimate buyers of the grain is a place – as it's turned into food is a natural place to start. And that's what happens in feed mills and then likewise what happens as you move into general food processing, whether it's pet food or food for us.
Steven Hansen: Okay, that's helpful.
Tim Close: It is a broad end market, which is one of the things we very much like about moving into that space and being able to leverage current capabilities and services and expertise as well. So, it's a great place to take what we've learned and extend the overall AGI platform.
Steven Hansen: Okay, helpful. And just one last one, if I may. Just going to push a little bit on the NAFTA issue and I understand it's all hypothetical at this point. But you described you've look at your capacities on both sides of the border. But can you give us a sense for what that analysis has entailed or how you think about it? Do you have – how much capacity would you have the ability to shift? How long would that take? Just a bit of broader color around how you thought about that exercise, again, recognizing it's still hypothetical? We look at it product line by product line by product line and by market. And we have manufacturing capacity on both sides of the border for our farm and commercial product lines from a portable perspective and a storage perspective in commercial space. So, it's been part of our diversification strategy over the last decade.
Steven Hansen: And would you be able to move half-complete products or components across the border? Would you have to shift the entire production base of an auger, for example, to the US side of the border? And do you have any sense for how does that work from an integration standpoint or is it just also have to move its capacity south?
Tim Close: Who knows, right, on how it ends up looking? But we can do either. We could do whole product builds on either side of the border or more component-based business. It's just – we plan for, I suppose, the worst and we'll see how it unfolds.
Steven Hansen: Okay, that's helpful. Hopefully, it's a non-issue, but just still trying to understand it. Thanks.
Tim Close: Figure it out. Let us know.
Steven Hansen: Thanks, guys.
Operator: Thank you. Your next question is from Westley Nixon. Westley, please go ahead.
Westley MacDonald-Nixon: Hi, me again. Last follow-up here. With Canada and international commercial activity ramping, it's likely that we might be a mix shift from farm to commercial in 2018. Would it be fair to assume that given that shift that gross margins should potentially ease up a little bit, just reflecting that business mix shift?
Tim Close: Not necessarily. Our margin in farm versus commercial, they're very similar when you take the product category in total. There are certain items within each of those product categories that are higher margin. Some of our highest-margin products are actually in our commercial group. Consolidated wise, as we have disclosed, the farm business is slightly higher than commercial, but not significantly. So, it really comes down to product mix in the commercial business, storage versus handling and, I guess, the magnitude of the storage business in North America. So, I don't believe that points towards a lower margin in 2018.
Westley MacDonald-Nixon: That's great. Thanks a lot. Congrats on a good quarter.
Tim Close: Thank you.
Operator: Thank you. [Operator Instructions]. At this time, I'm showing no further questions.
Tim Close: Okay. Well, thank you very much for joining us this morning and appreciate the time and look forward to talking to you in person soon.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for participating and we ask that you please disconnect your lines.